Matt Wells: Hello and welcome to Ceridian’s Fourth Quarter 2022 Earnings Conference Call. I'm Matt Wells, Head of Investor Relations. And on the call today, we have our Co-CEOs, David Ossip and Leagh Turner and our CFO, Noemie Heuland. As a reminder, all participants are in listen-only mode and a question-and-answer session will follow the opening remarks. Before I hand the call over to David, I want to remind everyone that our commentary may include forward-looking statements. These statements are subject to risks and uncertainties that could cause Ceridian's results to differ materially from historical experience or present expectations. A description of some of these risks and uncertainties can be found in the reports we filed with the Securities and Exchange Commission, such as the cautionary statements in our filings. Additionally, over the course of this call, we will reference non-GAAP measures to describe our performance. Please review our earnings press release and filings with the SEC for our rationale behind the use of non-GAAP measures and for a full reconciliation of these GAAP to non-GAAP metrics. Both our earnings press release and SEC filings are available on the Ceridian Investor Relations website. As a final note, a replay of this call will also be available on our Investor Relations website. And with that, I'd like to turn the call over to David.
David Ossip: Thank you, Matt and thank you all for joining us today for our Q4 earnings call. Today I'll discuss our exceptional results for the quarter and fiscal year and talk to our continued strength in technology that positions us for 2023 and beyond. Leigh will give more information on our successful customer implementations and recent organizational changes that will help drive efficiency and continue to grow. Noemie will then provide insights on our Q4 performance, 2023 full year guidance and reaffirm our medium-term goal becoming a $2 billion revenue company with industry-leading cloud recurring gross margins of 80% and adjusted EBITDA, up 30% by 2025. I'll begin with our financial results. I'm happy to report that we closed Q4 and fiscal year 2022 with strong momentum in financial performance. For Q4, we exceeded our guidance across all metrics. On a constant currency basis, Dayforce recurring revenue grew 35% and 24% excluding float. Our adjusted EBITDA was $67.7 million or 20.1% of revenue with cloud recurring gross margins expanding by 250 basis points on an adjusted basis to 76.2%. Cash flow from operating activities were $41.8 million, a significant improvement from a year ago. Our annual Dayforce gross retention rate remains best-in-class at 97.1% and our cloud annual recurring revenue surpassed $1 billion, growing 34% year-over-year. In 2022, Ceridian demonstrated efficiency in its operations while achieving impressive revenue growth and enhancing profitability. We also saw healthy sales growth in 2022 from both new customers and add-on sales to the base. This provides an excellent setup for 2023 as evidenced by our strong 2023 fiscal year guidance of Dayforce recurring revenue ex float growth at constant currency of 25% to 27% and adjusted EBITDA of 24% to 25%. I'm very proud of what our team has achieved and the value that we have all created for our customers. On this noteI would like to thank our employees and partners for their commitment and contributions to another successful quarter and fiscal year. It is our team, our differentiated tech and just the sheer size of the addressable global HCM market that drives my optimism, my confidence and my motivation to seize the growth opportunity ahead of us. Our brand promise of make work life better has never been more relevant. This has been evidenced in the hundreds of customer conversations that I have had throughout the year. It is evident that every company is striving to boost efficiency and productivity by adapting to the new reality of work and our emphasis on providing tangible value through actual verifiable investment returns has resulted in numerous customer success stories and increased demand for Dayforce. Next I will discuss our product innovation that continues to set us apart in the market. First, the size of our target market continues to expand as we add new modules to the Dayforce platform and by expanding our global payroll capabilities. Today, we offer the most comprehensive HCM suite in the market that is also unique in its payroll capabilities for 57 countries. This allows us to deliver a differentiated solution to enterprise and global customers. Another significant area of differentiation is that Dayforce is a single solution with a single database and single continuous calculation engine. This means that Dayforce offers greater efficiencies and compliance than any other solution in the market. It is our continuous calculation engine that enabled us to launch Dayforce Wallet, which lets employees get paid when they want improving their financial wellness and reducing employee turnover and cost for our customers. Over 1,450 customers, an increase of 500 year-over-year have signed up for Dayforce Wallet and 889, an increase of 462 year-over-year are live.  The average registration rate is trending above 45% of eligible users and the typical Wallet user interact [indiscernible] about 25 times a month. Dayforce Wallet remains a key competitive differentiator with high attachment rates to new sales and frequent usage among employees. We expect Dayforce Wallet revenues of approximately $140 million in 2023 which is growing over 100% year-over-year. On the data side, intelligence is central to Dayforce and we continue to integrate AI seamlessly into the platform. Our newly released intelligent search allows managers and employees to get answers to their questions easily and quickly. Also our Dayforce People analytics features provides customers with metrics and analytics across the entire employee life cycle covering DEI, performance compensation, flyers benefits and more. We have also added intelligent automation today for recruiting making the talent acquisition process more efficient and accurate. And we have improved our best-in-class user experience to meet changing work needs including a focus on mobile experiences. With the [indiscernible] mobile benefits enrollment, employees can fully manage the benefits on their mobile devices. And the Experience Hub, which we released last year allows our customers to easily put their branding on the application and personalized content and communications for specific groups. And we continue to offer differentiated features at the very core of Dayforce that extend across the suite to meet the demands of the modern workplace. For example, our Dayforce skills engine, the backbone of Dayforce talent intelligence creates an open standard-based approach to skills. It is a skilled engine that allows us to match candidates to open jobs and we are using this tech to build the ideal talent marketplace. We shared this upcoming solution at Insights. It will help customers increase the flexibility of their staffing models and adapt to the future world of work. And finally, Ceridian Tax Services has always stood out due to its competitiveness. In 2022, we modernized the architecture of our North American tax systems, and now customers can access the tax submission through the same technology as the Dayforce cloud platform. This will enhance our differentiation and drive more growth. Once more we are very proud of the progress we are making with our distinctive product line, which once again has been recognized as a leader in the 2022 Gartner Magic Quadrant for Cloud HCM Suites for 1000-plus employee enterprises, with us being the only pure-play HCM vendor named as such. In conclusion, our product innovation, broad reach and impressive performance this past year, gives us great assurance in our ability to achieve sustained profitable growth. Now, I'll turn the call over to Leagh. Leagh the floor is yours. 
Leagh Turner: Thank you, David. Like you, I am so pleased that Ceridian continues to perform beyond expectations and even in this complex operating environment. Last year, we adjusted our business to a more balanced growth and profitability plan. We shifted our operating model to leverage our APJ resources, and this allowed us to continue investing in and growing the business and in 2022 Ceridian operated above the rule of 40, with total revenue growing by 24% in constant currency and adjusted EBITDA being 20.1%. And as David mentioned, our guide for 2023 continues to improve on the Rule of 40. On the investment side, we continue to hire meaningfully, and especially so in sales marketing and engineering, which has allowed us to drive the innovation that David spoke to, and the sales results that I am going to speak to. And we did all of this while at the same time meaningfully globalizing our business, and the way in which we support and service our customers driving customer NPS scores up across both our support and services businesses, while also decreasing the number of support tickets logged in year by 13% and maintaining our world-class retention rates of 97.1%. We grew our partner ecosystem significantly in 2022 now with more than 170 partners globally. Today, more than 40% of our global bookings are supported by partners and 14% of our kickoffs in year were also completed by partners and that's a trend that will continue to increase significantly in 2022 and beyond. We are seeing the effect of our partners in our pipeline as well. Our pipeline coverage is strong and the maturity of our pipeline and level of qualification is high. In 2022, we saw triple-digit growth in our global markets, and our average overall deal size increased by 22% in 2022, signaling our growth upmarket while maintaining our leadership, in small- and medium-sized companies. Companies of all sizes, segments and parts of the globe are reaching for digital transformation, efficiency and globalization of their employee base to drive the efficiencies required to support growth. And these tailwinds are not going anywhere. In fact IDC says, that technology budgets are growing in 2023 with SaaS spend increasing by approximately 15%, year-on-year. Our growth levers will continue to prove to be the right ones at the right time. We entered the year with a seasoned and efficient sales organization. We have reps with time and territory and strong pipelines, particularly as we continue to make demonstrable strides in the large enterprise market. Over 25% of our sales, were back to the base in fiscal year 2022, and 39% of our customers have bought our Dayforce suite. Coupled with retention rates in excess of 97%, this positions us well for durable growth over the medium term. These are proof points, that our platform strategy works. Continued innovation, and happy satisfied customers are the combination that drives profitable long-term growth. Now, let me get into some of the specifics of our Q4 customer wins and go-lives. From a customer wins perspective, a global auto parts manufacturer with 40,000 employees in North America, chose to further unify its workforce on a single HCM platform, with Dayforce. This deal was brought to us by a partner, and the business process transformation that will follow, will be done by both the partner and Ceridian, a multinational hotel and restaurant company based in the UK selected Dayforce to fuel its growth and transformation by leveraging a modern, intuitive and engaging experience for its 38,000 employees. A US consumer goods manufacturer, with 35,000 employees globally, chose Dayforce for its Latin America and Asia Pacific operations, standardizing on a single global solution for payroll and workforce management, and driving a more efficient and lean organization. A major global airline based in Canada, with 22,000 employees focused on driving efficiency in their global payroll and WFM processes, selected Ceridian and one of our key global partners, to transform this part of the business. This deal was brought to us by that same partner. We also took live, some notable companies in the last quarter. A global professional services firm recently went live with Dayforce, streamlining payroll and taxes for 55,000 employees in the US and Canada. This customer went from signing to live, in less than nine months. They had very sophisticated requirements and excellent teaming between both Ceridian and the customer made this possible. They also happen to be one of our partners. One of the world's largest express transportation and shipping companies migrated to Dayforce, for a modern payroll experience for 12,000 employees. A leading global retailer, successfully migrated to Dayforce for HR payroll and workforce management for 10,000 employees in the United Kingdom; and a major American cargo and passenger airline launched Dayforce for payroll time and attendance and managed benefits for 7,400 employees. For those of you following us for some time, you will have noted that virtually all of the customers mentioned have employees in excess of 10,000. A few years ago this would have been an anomaly and now it's the norm. We've been relentlessly focused on scaling this business and this is one of the results. Speaking of scale, as we look ahead to fiscal year 2023, I'm very pleased to share the promotion of Steve Holdridge to President, Global Customer and Revenue Operations. In this new role, Steve will lead our entire global field operations. We have always known that this was the structure we intended to move toward and this is the right time to bring our sales, revenue and customer functions together to drive toward our growth goals and to continue delivering the quantifiable value that we promised through every single touch point of the customer experience. To support this new structure, we've also allocated additional resources to marketing in support of our brand and go-to-market efforts. We are providers of real business transformation. And at a time when every single customer everywhere is searching for a partner to help them convert efficiency into growth, Steve is absolutely the right leader to bring these teams together and to help us meet this moment of opportunity. His track record is exemplary, both since he joined Ceridian and in his years prior to joining us. A true global transformation leader, well known in the industry and well loved inside our four walls. I would like to personally take this opportunity to congratulate Steve on behalf of all of us at Ceridian for this latest endorsement of his leadership. Before I turn it over to Noemie, I would like to thank Rocky Subramanian, who will leave our business on March 3. Rocky was instrumental in leading our revenue organization to truly sell the value of transformation, working side-by-side with Steve to ensure that the quantifiable value we commit to in the sales process is realized when our customer goes live and again when they renew. He set us up for this next stage in our evolution and we are grateful for his numerous contributions and we wish him well. In closing, the demand environment remains healthy. Our pipeline is strong. The market opportunity is growing. Our ecosystem is expanding and succeeding and our renewal rates remain best-in-class. When customers reach for transformation and sustained efficiency, we are the answer that powers their growth, accelerates their productivity and reduces their cost. Above all else, we have the right team, further aligned to deliver, who I would be completely remiss if I didn't stop to think, along with our customers and our shareholders for their steadfast commitment to our brand promise and purpose, to make work life better. And with that, I will turn it over to Noemie to walk you more deeply through the quarter and the year and to review our guidance. Noemie? 
Noemie Heuland: Thanks, Leagh. I'd like to provide additional color on our fourth quarter performance and full year 2023 guidance, both of which are detailed in the press release published on our Investor Relations website. As David highlighted, our fourth quarter results exceeded guidance across all revenue and profitability metrics despite persistent FX headwinds. Notably, at constant currency, Dayforce recurring revenue grew 35% and total revenue grew 23%. Our adjusted EBITDA margin of 20.1% exceeded the high end of our guidance range and operating cash flows was $41.9 million above Q4 last year, driven in part by revenue upside and operating margin improvements. I am very pleased to report that on an adjusted basis, the cloud recurring gross margin was 76.2%, an increase of 250 basis points year-over-year. In the month of December, we also benefited from a $3 million change in estimate of sales commission amortization period. We will now amortize our deferred commissions over a 10-year period, a change of estimate from a five-year period, reflecting higher customer retention rates and length of our customer relationship. This revised estimate is also embedded in our fiscal year '23 guidance. Turning to fiscal year '23 guidance. I want to note that we expect about 85 basis points of FX headwinds to Dayforce recurring revenue ex float for the full year, with the primary impact being felt in the first half of the year, then moderating in the second half. The same trend will persist across total revenue, where we expect about 110 basis points of total FX headwinds. For the full year, Dayforce recurring revenue excluding float is expected to be in the range of $936 million to $946 million, growing 26% at the midpoint at constant currency. As noted in our press release, we have modernized our tax infrastructure and now provide our North America tech solutions under the Dayforce platform. As such, this modernization effort in our tech business is expected to contribute approximately 460 basis points of Dayforce recurring ex float revenue growth in fiscal year '23. In addition, I would like to note that our largest enterprise deals, take over 12 months to achieve full run rate total revenue. And our float revenue guidance reflects a more normalized interest environment. As the pace of rate increases moderates, we expect less upward variability as compared to fiscal year 2022. Adjusted EBITDA is expected to be in the range of $360 million to $375 million or margins of 25% at the midpoint. Our guidance assumes a degree of float reinvestment back into the business, as well as continued scale, primarily driven by cloud recurring gross margin expansion. As it relates to operating cash flows, we expect an adjusted EBITDA conversion ratio in the mid-50s for the full year 2023. Commensurate with progress made in '22 and as implied by our 2023 guidance, we remain committed to our medium-term goals. In closing, I'd like to echo both David and Leagh in saying that we're very proud of the progress we made in 2022 and are eager to continue executing on our shared vision in 2023. Now, I'd like to turn the call back over to Matt to open it for Q&A.
A - Matt Wells : Hello. Our first question comes from Mark Marcon from Baird.
Mark Marcon: Hey, good afternoon and congratulations. When I was at Insights you have a number of large enterprise clients that I talked to that were very complementary. And a lot of them were global in nature. And then I noticed with the sales highlights, you're mentioning all of the various global deals that you've signed. Can you talk a little bit about what you're seeing in the global marketplace as an opportunity relative to single country opportunities. It sounds like your competitive advantages really shine with regards to the multinational deals. And obviously that would speak to bigger deals as well. What are the key drivers in terms of the growth there? Is it just the native payroll and everything being able to translate smoothly? Is it the single database? Is it the continuous calculation engine? And to what extent is Dayforce Wallet attractive internationally?
David Ossip : Thanks Mark, and great to speak with you. What I would say about this is that most organizations are now looking at how they can transform their companies to take advantage and be relevant in today's world. On that line one of the initiatives that most organizations are looking at is how they can move to shared services on a global operating model basis. And so we're finding that all organizations beyond a certain sites are looking at using the Dayforce technology, because it provides them with a global operating model for their people. It allows them to have payroll process in a single system. It allows them to do the analytics altogether in constant currency, and it allows them to work on areas like standardization and shared services to achieve there more strategic initiatives. And so we're finding that's resonating very nicely inside the market. Leagh, what would you add to that? 
Leagh Turner : First of all, Mark, it's nice to hear from you. Thank you. And I would echo what David said, and I would just refer you to our press release where we talk about global customers that are sort of beginning one country at a time. I think that that's something we're seeing as well. You're right to say, David that companies are globalizing in order to achieve efficiency, but what we're seeing in our pipeline is that many very, very large global multinationals, we refer to a global auto parts manufacturer with 40,000 employees in North America. They actually have 350,000 employees globally. We refer to a global professional services firm with 55,000 employees in the US and Canada that we brought live. They have 276,000 employees globally. So this land and expand strategy is a huge part of our go-to-market and you should expect to see more of that over time. 
Mark Marcon: That's great. And can you just mention to what extent the Dayforce Wallet capabilities are helping listen to a large European staffing company Randstad just put in place early wage access for their European clients. So I'm wondering to what extent we're starting to see some traction outside of the US as it relates to early wage access?
David Ossip :
geo:
Mark Marcon: Terrific. Thank you.
Matt Wells: Thanks, Mark. And our next question comes from Mark Murphy of JPMorgan. 
Mark Murphy: Yes. Thank you very much. And congratulations, on the very strong guidance. First of all, it's great to see the $40 billion expected wallet revenue next year. I was curious, if that is assuming this continued registration rate of around 45% of the eligible users, or do you see potential perhaps to convert some of the holdouts and maybe what would be the -- what are the hurdles to get that to happen? And then, I have a quick follow-up. 
David Ossip: So Mark, it's still early days for the actual wallet. I'm not sure, if we got the number correct, it's 1-4 not 40 in the 2023 time frame. It's growing well beyond 100% year-over-year. If I look at the actual volumes of loads, we've crossed over $1 billion, a few months ago. And if I look at the daily loads or the number of times the application is used now, we're probably around 30,000 to 40,000 loads per day. So, it's growing very quickly. But from a revenue percentage contribution, it comes in now, I don't know what is it about less -- about 1% I guess of the overall size of the company. 
Mark Murphy: Okay. Understood. David, thank you for clarifying. I didn't hear it phonetically on the call properly. Thank you for clarifying that. As a follow-up, how did you interpret the recent monthly non-farm payrolls data. It was a stunning number. Unemployment rate was the lowest since I think the late 1960s. And I believe leisure and hospitality, were the strongest there where you do have relatively high exposure. Is that something you view, as kind of noisy or anomalous, or do you think it's instructive on the overall employment backdrop that you're seeing today? 
David Ossip: They didn't really talk about the seasonality of those particular segments. And you remember that in December, you typically have the highest level of employment in hospitality and retail. Typically, you'll see a drop-off of that, as you go through Q1 and then begins to build up again starting with Q2. So, I didn't see -- I wasn't surprised by the numbers. And remember, we have pretty live data when it comes to employment numbers by segment, by geo as well. So it's what we had expected. 
Mark Murphy: Thank you very much,
Matt Wells: Thanks, Mark. And our next question comes from Bryan Bergin of Cowen. 
Bryan Bergin: Hi, all good afternoon. Thank you. I guess, I want to start with demand. Just are you seeing any KPIs that would suggest recessionary behavior or eminent slowdown? Anything, like that? Can you comment on maybe new business momentum through January please? 
David Ossip: It's kind of a strange time. Usually on the sales cycle, sales activities after Thanksgiving, you typically see a bit of a slowdown that continues through December and into January. Last year, we didn't see that. The Solution Advisory team was exceptionally busy, throughout the month of December, towards the very, very end. And then came right back very, very high active, sales activities in the beginning of January. So there seems to be still a very robust market for our type of system, what I will say though is I think the inspection that is going into every single deal, the amount of diligence that each and every customer is doing is definitely up several at times and the focus on quantifiable value in other words delivering a very hard IRR to the company has become very important in order to get the approvals for the projects. But on the macro side, I can't speak to anything specifically that talks to the slowdown in the economy.
Bryan Bergin: Okay. That's helpful. And then pivoting to margin here. So the cloud recurring ex-float gross margin solid close here, where do you expect that to land in 2023? And then just on the change in commission expense amortization. Can you just give us a sense of what the 2023 impact is from that?
David Ossip: Yeah. So I'll start with the latter. If you look at the month of December, Noemie I think it was about a $3 million…
Noemie Heuland: Benefit.
David Ossip: …benefit inside that. I assume we could just extrapolate for the year. In terms of the gross margin on recurring, as you mentioned we ended the year on an adjusted basis at 76.2%, which was up about 250 basis points. If we look towards Q1, we would expect that it would go up probably between 1% to 2% relative to Q1 of last year. And for the entire year, I would expect us to probably make progress towards the rule -- to the 80% target that we're hitting by 2025. And so you'll probably see it go up by about another percentage or so over the course of the year.
Noemie Heuland: Yeah. Bryan, I think the best way to look at it if you look at our cloud recurring gross margin progression, we've always said that we're aiming to be close to 80% by 2026 and we're going to make progress every year and that's going to be pretty linear until then. And when it comes to flow, you may remember that when we come out of 2022, we had a pretty significant increase in our cloud recurring gross margin with the work we did in automation, as well as using our shared services centers in APJ. So we continue to see the benefits of that throughout 2023, but you'll see less of an impact and progression in 2023. It's going to be more linear going forward until we reach 80%.
Bryan Bergin: Okay. Thank you for the detail.
David Ossip: Just one thing that I would do on the long-term range plan is that I do believe the 30% adjusted EBITDA target with the sales commission changes moves to -- by the end of 2025 as opposed to 2026. So it moves the -- it brings it in by about a year.
Bryan Bergin: Okay. Understood.
Operator: Thanks Bryan. Our next question comes from Bhavin Shah of Deutsche Bank.
Bhavin Shah: Great. Thanks for taking my question, and congrats on a strong quarter. Just following up on some of the exact changes that you made just on the promotion of Steve, can you just maybe elaborate a little bit more on why you think it's best to consolidate the role of CRO under him versus maybe replacing Rocky? And then how are you thinking about or handicapping maybe the potential for any disruption if at all?
Leagh Turner: Yeah, I'll take that. First of all, nice to talk to you Bhavin. Thank you very much. I'll say a few things that we noted during the call. We -- David and I talked about this, I don't know David what four years ago about moving toward this structure eventually. In order to be able to do it, we needed stability and scale in each of the customer facing functions. And we knew that we had to go on a journey to be able to do that. But it's a structure and a target model that we always wanted to move to because of the fact that we allow -- it allows us to have like complete full visibility and alignment throughout the entire customer life cycle. We care a lot about delivering quantifiable value to our customers. So this allows us to set the measure for quantifiable value in the sales process, to bring it to life through the renewal -- or excuse me through the go-live process and then to measure it consistently throughout the renewal process. And we believe that that will make us market differentiated. And it will allow us to be the transformation partner, not sales partner, services partner, support partner, but actual life cycle transformation partner that we believe that we can be and that we can focus deeply on value. I will say I think that there will be zero disruptions. Steve is here with us, as is Greg George who leads North American sales. And as you would know that's the lion's share of our business today and they have been well aligned, all the way out through this entire last couple of years and through this change. I would also say Rocky did an awesome job. He was with us for a couple of years. He did exactly what we asked him to do, which was to upgrade and globalize our team to increase our value-based selling and transformation-based selling. And he and Steve have been partners for the last couple of years really working on that quantifiable value throughout the entire customer life cycle. And I think he's built a great culture, great leaders. And I think that there will be little-to-no disruption at all. And so what we've been able to do as a result of this change is to take some of the savings and efficiency and drive it back into our business investing in brands and telling our story. So I think frankly we're going to see forward momentum. As a result the team is super happy and we're just like onwards and upwards.
Bhavin Shah: Appreciate the valuable response, Leagh. Just maybe one question on float to follow-up. Can you just maybe help us understand maybe the delta between the 1Q guidance of $45 million versus the full year of $150 million which roughly implies $100 million for the following three quarters. I would have thought if anything that should be stable as we go into 2Q and beyond. Anything that we should keep in mind as it relates to this going forward? 
Noemie Heuland: So on Q1, you got to -- there's a bit of seasonality going on higher volumes in Q1 with the end of the year processing and the tax volume as well. And then we've reflected the most recent interest rate environment. But as we -- as I said on my prepared remarks, I think the upward variability for 2023 is going to be a little bit of less magnitude than it was in 2022 simply because the interest rate environment starts to normalize and we factored that into our guidance for 2023. 
Bhavin Shah: Appreciate it. Thank you again for taking my questions.
Operator: Thanks, Bhavin. Our next question comes from Robert Simmons of D.A. Davidson.
Robert Simmons: Hey. Thanks for taking my questions. I was wondering what countries of [indiscernible] will have you to add native payroll to that you might in the relative near term?
David Ossip: I'm sorry I didn't quite hear the question. 
Leagh Turner: What countries will we add natives payroll to in the relative near term I think.
David Ossip: Well, the focus at the moment is to get Germany online. We're starting to do the implementation of the charter accounts this year. And as we go through, it will go through a limited release to GA by the end of the year. We've already as you know got quite a backlog for customers in Germany. At the same time, we are extending our footprint across APJ with the countries that we already have acquired. So we launched Singapore last year and there are a few GAs around that are very similar in nature to Singapore that we probably will add. And we're continuing to invest in our global payroll interface, which allows us to if you like bring the engines as you know we've already acquired into the Dayforce platform.
Robert Simmons: Got it. That makes sense. And then can you talk about the competitive landscape? Have you seen any changes in the last three to six months that you'd call out, or is it pretty much business as usual? 
Leagh Turner: You know that we play in a variety of different segments, right? So I would say, it's not changed demonstrably. But we're playing – in the emerging – we had great growth in the emerging market, very traditional competitors there. In the mid-market, which is very clouded space. I would say, we continue to see relatively the same competitive landscape. But when we get up into the top end now, I would say, typically we see the three large ERPs, who we are now in the Gartner Magic Quadrant, leadership quadrant alone with. And many of our wins that were noted in the press release, the global auto parts manufacturer as an example was a win against UKG Workday SAP and ADP. When you look at the deal that we did in Australia and New Zealand, it was actually a multimillion dollar deal, done with a global multinational that does provisions of explosives and oil and gas – for the oil and gas and mining markets. That was a deal that was done in 17 days competitive against ADP partner-led. But I would say the one thing that you're seeing more demonstrably than perhaps in the past is that because we're working with partners so much, our deals are really pre-qualified and we're not competing to the same degree that we might have in the past. And our sales cycles are accelerating. As a result, we're able to maintain our value not only to our customer but to Ceridian.
Matt Wells: Thanks, Robert. Our next question comes from Siti Panigrahi from Mizuho.
Siti Panigrahi: Great. Thanks for taking my question and congratulations. Great quarter. David, when you look at enterprise momentum, it's very impressive. And I remember we started investing pre-COVID. For the last few quarters we are seeing this large deal size momentum. So how is the pipeline right now heading into 2023. This enterprise deals versus 2022 last year. And remind us like what's the deal sales cycle time for these large deals? 
David Ossip: So thanks very much for that. So look the metric that I would point to which Leagh spoke to is that the average deal size went up by 22% last year. There are a few things that are running kind of in parallel would be here. First of all, we have a kind of in-seat large enterprise and enterprise sales team. And so the pipeline that has been generated by that team and the business development organization over the last year means that we go into 2023 with an enterprise pipeline that is several times larger than the one that we went into at the beginning of 2022. The second is we've made tremendous progress with the system integrators and we're seeing more large deals being sourced by the system integrators. Leagh spoke about a few of those, the large global automotive manufacturer that was sourced by one of the large SI’s. The Canadian airline organization. That was also sourced by another very large SI. The chemical organization based out of Australia that was also sourced by another SI. And so we're seeing now the pipeline being positively influenced by the SI channels which as you know we've been investing in for probably the last three or four years. So when you take all of those together, we go into year with a much healthier and much more robust sales pipeline. In terms of the average deal size it really varies. If I look at the chemical company that was a lightning quick, it probably was somewhere like 12 to 16 weeks from identification to actually contracting. If I look at the airline company, which also is about 20,000 employees I think that was probably about six months at most in terms of the time to move through the pipeline. But I think those are outliers. As you would expect in the large enterprise space it would be typically 12 to 24 months to mature those types of opportunities. One other point I would make on the large enterprise side, has to do with the implementation. And we've gotten very good at taking very large populations live very quickly. The large consulting company that, Leagh spoke about which is upwards of about 50,000 or so employees. The project kicked off in April and they went live in December. And that's not an anomaly at all. So I'm very encouraged with what we're seeing in the large enterprise basis.
Siti Panigrahi: That's great color. And as a follow-up to that, you talked about SIs getting involved in the deals. Is that the reason why the professional services, revenue Dayforce professional services revenue was up 3% year-over-year, or is there anything else? And how should we think about professional services revenue for 2023?
David Ossip: Yes, that is correct. I don't think it's -- I think 3% you're talking about is inside the actual quarter. But if you look at it for a fiscal basis, it was actually up by 14% year-over-year. But yes, we are trying to move more-and-more of the implementations to the system integrators. And the number of projects that the system integrators are now primarily, I think is 15% of the overall amount.
Leagh Turner: Yeah. 14%.
David Ossip: 14%. And so we would expect that to grow quite significantly again, in 2023.
Siti Panigrahi: Great. Thank you, congratulations again.
David Ossip: Thanks, Siti.
Operator: Our next question comes from Matthew Pfau of William Blair.
Matthew Pfau: Hey thanks for the taking my question. I wanted to ask a few on the ideal talent marketplace. So how are you thinking about this opportunity in terms of its size? When would you expect this to start contributing to revenue meaningfully? And then, how do you go about sourcing labor for this product in a tight labor environment? Thanks.
David Ossip: So thanks for the question on that. We're still building out the actual products. It will be some time before we see a revenue benefit from it. In terms of where we are, we expect to be able to take the charter accounts live in the Q3, Q4 time line. In terms of the sourcing of the actual labor there are already two classifications of people. We call the first known employees which would be the active employees of the company as well as the alumni of that company. And then the second categorization will be something we call trusted employees which are people that we have done the background screen for we've done the use the able skills engine to validate their particular skills so we can do the actual job matching. In terms of the identification of the charter accounts, we've been quite active in speaking to our clients and getting them to a stage, where we should be in a position to start contracting with the first few customers in the next few months.
Matthew Pfau: Thank you. Appreciate it.
Operator: Thanks, Matt. Our next question comes from Michael Turrin of Wells Fargo.
Michael Turrin: Hey, great. Thanks for taking the question. Appreciate it. Employee growth on the platform is still strong this year at 17%. You mentioned the environment you're seeing still looks healthy. Can you walk through some of the assumptions you're making on the employment environment in the fiscal 2023 guide? And then secondarily, there's a tax migration impact mentioned in the press release as part of the Dayforce revenue guide. Noemie maybe you can just give us some details on what's driving that? Is that something you're expecting as the user base matures, or maybe what's driving that now? Thank you.
Noemie Heuland: Sure. So in terms of employment assumptions David referred to it earlier, we're expecting the employment trends to normalize. Remember in last year Q1, we still had little bit of pickup from the employment level recovery from the COVID period. So that's completely normalized now. We're expecting a slight decline in Q1 in employment levels seasonal trends and then picking back up again. So that's for the – that's what's embedded in our PEPM guidance for 2023. And on the tax migration, we've talked about the effect and we – David can talk about this too, but we've modernized our existing infrastructure. This is no different than what we've done in the past for our Bureau customers, where we migrate them from an on-premise types of delivery into cloud and that really enabled us to generate a lot more profitable margin with the tax customers as well. And we classify the revenue as cloud and Dayforce recurring. That contributes to about 460 basis points of growth in 2023. And we have an aggressive marketing plan as well as branding activities to really grow that market and that business because there's really big demand for it. That's a competitive differentiator for us and customers actually appreciate the services offering. David, do you want to add something on that? 
David Ossip: Yeah. I think you did it well. It's no different than what we did with all of the legacy payroll business. So over the last number of years, we've actually been rewriting the tax component into the Dayforce platform, such that, it becomes a true cloud system, but also that it allows us to get a foothold in the actual customer's that gives us future growth, and hence the branding exercises and the marketing exercise that Noemie is talking about. A few things though on the gross profit, we were able as we did the actual movement into the Dayforce kind of tech stack to improve the gross profit the gross margins on the recurring tax business up quite significantly as well. And so the gross margins on the tax recurring are now within a few basis points of what we see on the entire Dayforce platform. We also did make some changes to some of the services. For example things like printing. We no longer do that directly. So kind of the low-margin types of services, we worked out other ways to deliver that to customers outside of Ceridian.
Michael Turrin: That's very helpful. Thank you.
Operator: Thanks, Michael. Our next comes from Jackson Ader of MoffettNathanson.
Jackson Ader: Great. Thanks for taking our questions, guys. The first one is on the deal size increase that's up I think 22% a year-over-year. I'm curious, whether you can parse how much of  that was attributable to the customers being larger like customers having more employees versus maybe holding employees steady but actually uptake of more product.
David Ossip: Look, we've got five growth vectors for the business. The first one is that we acquire new customers. The second is that we increase the actual platform. We go back to the base and we upsell them. As Leagh pointed out 25% I think of the sales that we did with inside fiscal 2022 were back to the base. And then the third growth vector is that we go into the enterprise and the large enterprise space. And as you can see from the list of customers and such, we've obviously done that very effectively. So it's really kind of looking at the growth as a rectangle. And we're looking at effectively growing the area all the time by selling more modules and at the same time sell into large organizations.
Jackson Ader: Okay. All right. And then just a quick follow-up on the wallet. Any expected impact or quantifiable impact on margins that you can talk about for the wallet either in 2022 or on the expectation for that $140 million in revenue in 2023.
David Ossip: Not $140 million, again, $14 million, 1-4. Obviously you have to stop mumbling when I speak.
Jackson Ader: Sorry about that. Yes. Got it now.
David Ossip: Yes. In terms of the margins, the margins obviously go up as the scale of the business actually goes up as well. I think if we look at it as an overall probability, it’s kind of in line with the rest of the Dayforce application. But I would expect the profitability of that business to obviously improve. But again, it's a small business today, growing well over 100% year-over-year. And I think that growth trend will continue for some time.
Jackson Ader: Okay. Got it. Thank you.
Operator: Our next question comes from Alex Zukin of Wolfe Research.
Alex Zukin: Hey guys. Can you hear me okay?
David Ossip: Hey, Alex. Nice to speak with you.
Alex Zukin: Likewise. So, excluding the $200 million in the Dayforce Wallet -- no, I'm just kidding. I guess, on -- if you think about the guide for Dayforce recurring revenue, if you do actually exclude the $14 million wallet and the 450 basis points of tax migration, it does appear a little bit more conservative than your historical guidance methodology for Dayforce recurring revenue. Is that just deliver it, taking account of the more volatile macro, is it something else? And just David also help us understand, is this a one for one what we were charging for the tax piece on-prem now moving it into the cloud? Are you getting a cloud migration dollar boost from that as well for that service? And how much is left in that Bureau business to migrate or convert over to Dayforce?
David Ossip: Yes. First of all Alex, remember as a tech company we make investments in engineering and we do that in order to get the Dayforce recurring revenue in both the case of Dayforce Wallet and in the tax. We put significant resources into the kind of the development if you like of the Dayforce components for that. It's no different and us going off and building a different module and trying to get recurring revenue against it. So, I don't think what you're saying hold, because obviously we invested in the P&T line, product and technology in order to get the growth on the Dayforce recurring from those two specific modules as I would frame that. In terms of the pricing, yes, you're correct, we were able to increase the prices that we have been getting for tax over the last year. And that's when I mentioned that the margins had improved to be in line with those of Dayforce. Obviously, there's a cost savings on the infrastructure side, but there's also a revenue look that we get from that too. 
Alex Zukin: And then in terms of just the latent opportunity that still exists in that Bureau base to convert over to Dayforce or over the course of the next few years either in tax for Bureau?
David Ossip: No, we did it in a way that we're able to do it kind of all-in. So, if you actually look at the growth for Q1, it's about 550 basis points lift from that particular migration. And so if I look towards the Bureau kind of run for the year, the makeup effectively is the remaining North American payroll and fiscal 2023 is like $1.5 million to $2 million. Tax all moves across over to Dayforce this year. We've got that small business Freedom product that still holds probably around the $9 million level. We have no more HRO business inside that. There's still a little bit of allocation of float that goes towards the Bureau business in the neighborhood of $1 million to $2 million. And then we have the APJ products that we will be migrating over the next number of years. And that if I look at it for the year in total it's probably about $84-or-so million. 
Alex Zukin: That's super helpful. Maybe just sneaking one last one in David. How the thought process around inorganic contribution as you look at -- the market seems to be getting a little bit better for private valuations as you think about just generally for -- by adding incremental functionality into the business. 
David Ossip: We're not looking at doing any significant scale M&A within 2023. We're focused quite honestly on hitting the $2 billion of revenue the 80% gross margin on recurring and a 30% adjusted EBITDA organically.
Alex Zukin: Perfect. Thank you guys so much. Congrats.
Operator: And we'll take our last question of the night from Raimo Lenschow with Barclays.
Raimo Lenschow: Hey thank you. Can you hear me okay?
David Ossip: Hey Raimo, good to speak with you.
Raimo Lenschow: Okay, perfect. Yes. Same here. Can you talk a little bit the enterprise wins are really, really impressive like where -- what are you seeing there? Are there any patterns in terms of where these customers are coming from in terms of like having tried it out other cloud vendors where the offering is not very strong, some of the old legacy stuff is getting dated and people are moving. Are there any things that you can see that kind of create a trend here?
David Ossip: It's right across the Board. We're replacing some of the cloud branders that you obviously know of. We're obviously replacing some of the legacy payroll bureau companies that you would expect that we've always had. We're also replacing some of the ERPs in the market, but I don't think that's changed. Look when I look at it I think we are differentiated in that we're the only pure-play HCM vendor in that Gartner leadership quadrant. And specifically we are number one for compliance. We're number one for payroll. We're number one for customer set. But also we completely differentiated on our global capabilities whether it be global HR, global workforce management, global payroll. So, I do think we're quite unique inside the market when it comes to the large enterprise companies. And as I spoke about at the very beginning the move of all companies of scale to shared services and globalization of the operations is just the reality of a post-COVID world. Leagh what would you add to that? 
Leagh Turner: I think the only thing I would add is that the driver is consolidation and efficiency. So in many of our wins over the course of the last quarter, we're replacing like multiple systems. I'll give you an example. The win in Australia that both David and I referred to as a replacement of 34 different systems. This is a really common trend as companies look to drive efficiency in order to be able to fuel growth. And so I would say that that's a really key driver. 
Q – Raimo Lenschow: Yes. Okay. Perfect. And then one quick follow-up more for the future around like your revenue recognition usually started when you get the customer live. Other vendors are starting actually from almost day one because the client is using system integrators and in the client say, how are you thinking about that as you evolve and as more system integrators coming on stream? Have you changed it? Are you thinking about changing that? Any help there as well. Thank you, and congrats from me as well.
Leagh Turner: Yes. I mean I'll ask Noemie add a little bit of color, but I'll simply say that's a business model that you can imagine we're moving towards. As we partner with system integrators we come in with a joint value proposition. We sell the software. They sell the implementation. Together we do the transformation services. And you should expect that over the course of the next few years that we will continue to mature that model. Noemie what would you add?
Noemie Heuland: Yes, no, you’ve covered it Leagh. We've actually started doing that a couple of years ago and some opportunities and customers have kept that starts right upon signing the contract. We're moving in that direction. Obviously, when you sell the full suite and you have a SaaS offering that includes more ACM and additional modules other than payroll. It's obviously a bit easier to do but the -- we're also making big strides in that model with a payroll and time and attendance customers as well 
Q – Raimo Lenschow: Okay. Perfect. Thank you.
David Ossip: Thanks, Raimo. Thanks everyone for joining the call.